Operator: Greetings and welcome to the Sidus Space Fourth Quarter 2024 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to hand the call over to management.
Adarsh Parekh: Good evening everyone and thank you for joining us for Sidus Space's Fourth Quarter and Full Year 2024 Earnings Conference Call. Joining us today from the company is Carol Craig, Chairman and Chief Executive Officer; and myself, Adarsh Parekh, Chief Financial Officer. During today's call, we may make certain forward-looking statements. These statements are based on current expectations and assumptions and as a result, are subject to risks and uncertainties. Many factors could cause actual results to differ materially from the forward-looking statements made on this call. These factors include our ability to estimate operational expenses and liquidity needs, customer demand, supply chain delays, including launch providers, and extended sales cycles. For more information about these risks and uncertainties, please refer to the risk factors in the company's filings with the Securities and Exchange Commission, each of which can be found on our website, www.sidusspace.com. Listeners are cautioned not to put any undue reliance on forward-looking statements, and the company specifically disclaims any obligation to update the forward-looking statements that may be discussed during this call. At this time, I'd like to turn the call over to Carol. Carol, please go ahead.
Carol Craig: Thank you, Adarsh and welcome everyone on this last day of Women's History Month. On today's call, I'll outline our key accomplishments during 2024 and Adarsh will present the financial highlights for the same period. I'll then discuss our 2025 outlook, after which, we will address previously submitted Q&A. 2024 was a defining year for Sidus Space, a year in which we validated our technology, expanded our constellation, grew our customer base, and secured key strategic contracts and partnerships that position us for growth and long-term success. Just over three years ago, we became a public company through a traditional initial public offering, or IPO, and in the past 12 months, we've evolved from a space manufacturing and services company into a full-fledged space technology and an AI company, focused on delivering mission-critical AI-powered space data solutions with 3 LizzieSat satellites designed and manufactured by Sidus now on orbit. The last couple of years, we're focused on demonstrating that our decade-plus of heritage experience translates to success no matter what the mission or goal. Our first launch success with LizzieSat-1 was quickly followed by the launch of two more operational satellites and we're now ready to expand our reach into new markets and new customers. We continue to focus on four key principles; strong revenue diversity and growth; scaling production capabilities; pursuing breakthrough developments on advanced technologies that could create new markets; and leading our industry to reimagine space access. As we move up the value chain from a trusted supplier to a strategic platform provider, our year-over-year revenue decline is the result of a deliberate strategic shift in 2024, toward prioritizing higher margin revenue streams, our satellite design, manufacturing and launch, and building a more robust pipeline, efforts we believe will lead to a significant increase in our backlog. And so, I'd like to share a few examples of our successes to demonstrate how we are already executing in these four key areas. We launched three satellites, LizzieSat-1 in March of 2024; LizzieSat-2 in December of 2024; and LizzieSat-3 in March of 2025, demonstrating our ability to design, build, launch, and operate satellites on an aggressive cadence, setting us apart in the industry. We took advantage of our cadence to apply lessons learn new technologies, and other enhancements to improve the probability of success on LizzieSat-3, which launched in March. In less than two hours from deployment, we established communication and control of the spacecraft. It was our updates to software, efficiencies in sequencing, and enhanced technologies that we integrated into LizzieSat-3 that resulted in rapid operations and control. While LizzieSat-1 and -2 are not as quick to operations, both were instrumental in developing and learning best practices and are still functioning and providing value. LizzieSat-1 continues to operate in great health with over a year on orbit and supports customers such as the NASA Stennis Space Center for Autonomous Satellite Technology, who awarded us a follow-on contract for additional support for their resilient application or ASTRA historic in-space payload mission. LizzieSat-2 was launched into a mid-inclination orbit, which differs from our typical polar inclination missions and we're currently continuing to work through the commissioning phase. And as I mentioned, LizzieSat-3, which is equipped with both Sidus and customer-hosted technologies, is healthy and in the commissioning phase as well. This past year, we received approval by the U.S. Federal Communications Commission or the FCC for operation of a micro constellation of remote sensing, multi-mission satellites in low-earth orbit, and we look forward to further expanding our constellation in the upcoming months. We established a fully operational mission control center with 24/7 capabilities to manage satellite operations, orchestrate collection management tasks, and satisfy data distribution requests for our own constellation and others. Our partnerships and relationships with companies like LeoLabs and NeuroSpace further strengthens our space traffic management and LEOP or Launch and Early Operation support services, enhancing Sidus' constellation operation capabilities. We were selected to exclusively design and build the first-generation lunar fleet of Data Storage Spacecraft for Lonestar Data Holdings, a provider of premium data storage and Resiliency-as-a-Service, which reinforces the adaptability of the LizzieSat platform for deep space missions. The Lunar design is approximately 800 kilograms in size and it's another example of how our proven LizzieSat platform enables rapid mission configuration and scalability across a wide range of satellite sizes, sufficiently addressing unique mission requirements. We introduced Sidus Orlaith, our next-generation AI-driven space data ecosystem, enabling real-time on-orbit data processing and dramatically reducing latency for mission-critical applications. We demonstrated its on-orbit capability with an AI-enhanced thermal sensing firefighting software solution, showcasing the ability to process large sets of raw data in space and deliver only relevant information to end users. This achievement established flight heritage for our Sidus Orlaith AI ecosystem edge computing hardware and software solutions. And related to our AI solutions, we secured FCC approval for our space-to-space data relay, a key advancement that will allow LizzieSat-3 and future satellites to provide direct-to-user data transfer, significantly improving timeliness and efficiency for our customers. We continue to strengthen our global partnerships, signing agreements with several international firms that expand our global footprint while positioning us for sustained technology innovation and domestic growth. These include collaborations with Reflex Aerospace, a German satellite manufacturing start-up focused on agile, high-performance satellite platforms; Warpspace, a Japanese space tech company specializing in next-generation optical communication technology; and NamaSys, a Bahrain-based multidisciplinary technology and electronic security consultancy, actively supporting space initiatives in Saudi Arabia. These partnerships not only extend our global reach, but also align with our commitment to advancing next-generation space technologies through collaborative innovation. We expanded our defense and government business by securing new contracts with NASA, the U.S. Navy, and prime contractors supporting the Department of Defense. And these wins further integrated us into the broader space, defense, and intelligence ecosystem. The contract spans support and services related to our LizzieSat data, Orlaith AI, and hardware manufacturing and engineering support, including our role on the $30 million Intuitive Machines-led Moon Racer team or LTVS contract, which is part of the agency's Artemis campaign. This contract is already underway. This contract mix shows how our vertically-integrated model with complementary lines of business enables us to unlock new potential revenue, generating opportunities, while maintaining diversity of revenue. We're not dependent on a single line of business or customer, which provides us the optionality to scale where the market needs demand. This diversity mitigates risks associated with external factors like macroeconomic shifts or technological disruptions. Our flexibility allows us to adapt swiftly to market changes supporting growth across all our business lines. In addition to new contracts, we continue to support our current customers and contracts, which includes completing the critical design review for LizzieSat-NL, a laser communication satellite contracted by The Netherlands organization. We also produced and delivered thousands of unique parts to over 14 different customers across commercial, government, and defense sectors, reinforcing Sidus' role as a trusted provider of mission-critical hardware. Also strengthening our ability to support multiple customers, offer thousands of products, and scale effectively is our implementation of SAP in 2024. SAP is now live on the manufacturing side of the business with full integration across the organization expected in 2025. We further expanded our product offering by developing and achieving flight heritage for the Sidus Low Voltage Differential Signaling Switch Card, which extends the capabilities of the payload processor, enabling communication with multiple optical sensors through high-speed LVDS dated connections. This product and others are key to our pursuit of advanced technologies that not only enhance our satellite offering, but create new markets. This key principle has resulted in a strengthened intellectual property portfolio with the approval of new patents, includes the publication of a patent application protecting, enhanced functionality of the LizzieSat modular satellite platform system. And we currently have 14 issued patents with 13 pending. As we look at the plan for 2025 and focused on growth, we expanded our physical presence with the opening of a West Coast office in El Segundo, California. So, we are now located in close proximity to both Eastern and Western launch sites. Additionally, we bolstered our capital position, raising $37 million in funding to support our next phase of growth and we ended 2024 with a cash balance of $15.7 million following a successful equity raise in December. So, the new administration has made it clear that it intends to maximize the impact of federal spending by shifting from large government-owned cost-plus development programs to commercial service models. These models emphasize private sector innovation and require providers to operate efficiently within fixed price environments and this is precisely the type of ecosystem in which we excel. Our lean, agile mindset has been core to our DNA from day one. This shift presents a meaningful opportunity for us to further diversify within the space and defense sectors. Diversification has always been our North Star and we continue to execute on that vision by layering in complementary capabilities and advancing multiple milestones in parallel. But it's important to note that a lean mindset does not imply a narrow, vertically-focused business. Instead, it enables us to adapt quickly, reduce overhead, and make faster decisions. Autonomy and artificial intelligence play a critical role in our strategy, especially given the complexity and remoteness of space operations. Space is inherently challenging and unpredictable and each mission carries risk and the possibility of subsystem fault, but it's also around the untapped opportunity where innovation can transform initial concepts into entirely new capabilities. A great example is LizzieSat-1, which has evolved into an AI testing platform for both internal initiatives and external programs across commercial and government sectors. Our LizzieSat constellation is an internal program, meaning that the intellectual property, along with all data generated by the satellite and Sidus-funded sensors remains proprietary to Sidus. Related to that, we recently received approval for a key patent, covering our modular satellite with a configurable design, leveraging our 3D composite printing, and incorporating an advanced thermal control system, multilayer insulation, and thermally-responsive paint. Unique and disruptive, it's this innovation that forms the technical foundation of our versatile multi-mission LizzieSat platform. And as I've said before, we are smartly vertically integrated, which has reduced overhead, improved decision velocity, and accelerated our development cycles. This integration empowers us to innovate faster, work more flexibly with the suppliers, and iterate rapidly, embracing the test, fail, learn approach. While we're rooted in a strong legacy of reliability, we remain relentlessly forward-looking operating at the edge of new space innovation. And I'll now turn it over to Adarsh for a discussion of our financials.
Adarsh Parekh: Thank you, Carol. I'm excited to share our fourth quarter and full year 2024 financial results, which reflect our continued progress in executing our long-term strategy. Over the past year, we've made significant investments in our AI-driven space data service, expanded our satellite constellation, and improved operational efficiencies, all of which is essential to our transition from a primarily manufacturing-driven revenue model to a much more scalable, high-margin data and technology services business. As we have continuously reinforced, we often see lumpy contract awards from quarter-to-quarter and year-to-year because of our portfolio of capabilities. However, as we transition to data and technology services, we expect to see smoother and more stable revenue trends as well. While we have maintained a strong foundation in manufacturing and subcontracting work, the successful deployment of our LizzieSat constellation positions us for future revenue growth in AI-powered space intelligence and real-time data delivery. Today, I'll walk through our financial performance, key drivers behind our results, and how we're strengthening our position for the next phase of growth. So, now on to our 2024 financial results. Total revenue for the 12 months ending December 31st, 2024 was approximately $4.7 million, a decrease of $1.3 million or 22% compared to total revenue for the 12 months ended December 31st, 2023. This decline reflects Sidus' intentional strategic shift of the value chain, from a trusted component supplier to a provider of higher-margin mission-critical solutions, including data services, advanced technologies, and satellite manufacturing for both internal use and external customers. This shift included strengthening our pipeline of opportunities with an estimated $200 million in identified opportunities, including approximately $78 million in proposals submitted throughout 2024. Cost of revenue increased 42% for the 12 months ended December 31st, 2024 to approximately $6.1 million as compared to approximately $4.3 million for the 12 months ended December 31st, 2023. The increase was primarily driven by higher depreciation costs associated with our first satellite asset deployed in March 2024, our mix of varying contracts with higher material and labor expenses, shifts in milestone payments for our higher-margin satellite-related business, and continued increased supply chain-related costs. Although depreciation will continue to impact cost of revenue, it should be significantly offset as we grow our higher-margin satellite and data-related revenue. Our gross profit for the 12 months ended December 31st, 2024 decreased 31% to a loss of approximately $1.5 million compared to a gross profit of approximately $1.6 million for the 12 months ended December 31st, 2023. Gross profit margin was negative 31% for the full year 2024 as compared to 28% for the full year of 2023. The change was mainly driven by higher depreciation costs associated with our first satellite asset deployed in March 2024, our mix of varying contracts with higher material and labor expenses, and shifts in milestone payments for our higher-margin satellite-related business. Selling, general, and administrative expenses for the 12 months ended December 31st, 2024 totaled approximately $14.2 million, approximately in line with the same period in the prior year. Increases to consulting services for business development, mission control expenses, fundraising expenses, and Board-related compensation were offset by reductions in D&O insurance expense, professional fees, R&D costs, and investor and public relations expenses as a result of bringing more of these functions in-house. To provide users with additional information in connection with our results as determined in accordance with GAAP, we also include in our 2024 Form 10-K non-GAAP measures to determine our adjusted EBITDA. We use adjusted EBITDA to evaluate our operating performance and make strategic decisions about the company's future direction. Adjusted EBITDA loss, a non-GAAP measure for the 12 months ended December 31st, 2024, totaled $12.9 million as compared to an adjusted EBITDA loss of $10.9 million for the same period the prior year, which represents a 19% reduction in our adjusted EBITDA. Total non-GAAP adjustments for interest expense, depreciation and amortization, acquisition deal costs, severance costs, capital markets and advisory fees, equity-based compensation, and warrant costs are provided in the reconciliation table, listed in our fourth quarter and full year 2024 earnings press release, released earlier today. Net loss for the 12 months ended December 31st, 2024 was $17.5 million compared to a net loss of $14.3 million in the period of 2023. Turning to the balance sheet. As of December 31st, 2024, the company had $15.7 million of cash as compared to $1.2 million on December 31st, 2023, which represents an increase of $14.5 million. The increased cash balance puts Sidus in an excellent position to transition towards its core higher-margin businesses of space manufacturing and space technology. As we continue to manage our cash conservatively, we will prioritize the strategic use of our cash resources to pay down debt and fund our upcoming satellite builds, which are crucial for driving revenue and overall growth and profitability. We will also continue to identify additional opportunities to reduce expenses and increase efficiencies within our business. With that, I'll hand the call back to Carol.
Carol Craig: Thanks, Adarsh. As our multi-mission constellation grows, our technology portfolio expands, and our satellite design and manufacturing capability extends outward to government and commercial customers, 2025 is about execution, delivering measurable value through mission-driven innovation and operational excellence, while maximizing the value of our assets. We're focused on sustained growth, profitability, and realistic disciplined projections. Our broad and diverse product line is built for cost efficiency and global reach supported by robust ITAR-compliant processes and procedures. We have the heritage, we have the technology, we have the track record, now the focus is on achieving EBITDA positivity and generating free cash flow. As Adarsh mentioned, as we shifted to an increased focus on broader, higher-margin services, we continue to strengthen our pipeline of opportunities with an estimated $200 million in identified opportunities, including approximately $78 million in proposals submitted throughout 2024. This growth is a direct result of successful launches, manufacturing capabilities, and AI development as well as a focused effort to pursue larger and more strategic opportunities. We're submitting bids on a consistent cadence. And while there is no certainty in the outcome, we believe that converting even a portion of these opportunities will result in a significant increase in backlog. Our goal is diversification to spread our exposure across different markets, products, or customer segments. The constantly evolving space ecosystem is susceptible to economic shifts, supply chain disruptions or change in consumer trends and diversification can help offset the impact reducing overall business risk. Unlike companies focused on a single technology, we've deliberately built a platform that can evolve with the industry. Our architecture is designed to mitigate technological obsolescence, enabling rapid integration of new technologies, and supporting a true multi-mission environment, both at the satellite and constellation level. Ultimately, our aim is to demo cost-efficient, steady operational cadence. As we transition from non-recurring engineering to production supported by flight heritage, we believe that our revenue streams, both from satellite hardware and Data-as-a-Service will become increasingly predictable and stable. In 2025, we're on track to achieve key satellite and AI milestones, including; expanding the capabilities of our AI-driven micro constellation with LizzieSat-3 integrating Sidus Orlaith to deliver on-orbit AI analytics for real-time space situational awareness, maritime monitoring, and disaster response; utilizing space-to-space data relay module to enable direct-to-user data transfers and reducing latency for time-sensitive applications; completing the design for Lonestar Data Holdings' first Lunar satellite mission, expanding our expertise beyond low earth orbit in the lunar operations; and continuing to support the NASA Stennis ASTRA mission through the entire life of the LizzieSat-1 satellite. We're also focused on product and partnership expansion, including: reinforcing our three core pillars technology, AI and, space, by expanding our AI-driven solutions and mission-critical space services; bringing VPX SOSA aligned space hardware into full production and entering the market supporting scalable satellite and data solutions; advancing our LM FlatSat, which is a lab-based integration and testbed platform for next-generation technology demonstrations; expanding in-orbit demonstrations at AI algorithms enhance our ability to provide near real-time autonomous intelligence, surveillance, and reconnaissance tasking and execution; expanding our satellite platforms to include 200-kilograms, 400-kilogram, and 800-kilogram bus sizes in support of LEO, GEO, and Lunar missions with the next LEO launches planned for 2026 and 2027. With three LizzieSat satellites now in orbit and a robust pipeline of technology and data contracts, we're at a critical inflection point in our business. For years, our revenue was driven by manufacturing and some contracting work. And while that remains a part of our foundation, our core strategy is now focused on scaling complementary business lines, including our AI-driven space data services. Sidus is no longer just a satellite company, we're space technology and AI company that is transforming how data is collected, processed, and delivered in space. This evolution fundamentally changes our business model. We're leveraging our design and manufacturing efficiencies to build custom technology solutions for LEO, assist Lunar in deep space missions, ensuring that we remain at the forefront of next-generation space infrastructure; we're expanding our manufacturing beyond one-time hardware manufacturing contracts to building constellations for others; and we're creating AI-driven insights on orbit, reducing the cost and time associated with transmitting large amounts of raw satellite data to earth and growing our high-margin recurring data and service model. Our competitive advantage lies in our vertically integrated approach. We don't just manufacture satellites, we design, build, and operate them, while leveraging cutting-edge AI to process data in orbit. This gives us control over the entire data lifecycle, allowing us to provide faster, more secure, and more cost-effective insights than traditional space service providers. Our AI-driven technology, operational efficiencies, and growing multi-mission constellation continue to set us apart in the industry, positioning us for long-term success and leadership in the evolving space and defense landscape. We've spent the last several years building the capabilities, partnerships, and infrastructure necessary to lead in AI-powered space intelligence. Now, as we transition into a full-scale space technology company, we're focused on scaling our data services, expanding our market presence, and driving long-term sustainable growth in 2025 and beyond. What we achieved in 2024 is just the start. In 2025, we are not only continuing to execute, but we are accelerating. As our constellation expands, AI capabilities advance, partnerships grow, and our presence in the satellite manufacturing market deepens, Sidus is redefining what's possible in space. We're excited for what's ahead, and we're just getting started.
A - Carol Craig: The first one is, despite Sidus' operational milestones and strategic advancements, the stock price has not reflected this progress. What factors do you believe are contributing to this disconnect? And how do you plan to address it? So, I completely understand the frustration some investors may feel when looking at our stock performance relative to the significant milestones we've achieved. Over the past year, we've successfully launched three satellites, expanded our AI-driven data services, secured key government and commercial contracts, and strengthened our global partnerships. By all operational metrics, Sidus Space is executing on its strategy and building a strong foundation for the future. However, stock performance is influenced by a variety of external factors beyond our operational success, broader market conditions, sector-specific trends, and macroeconomic forces, all play a role. The space sector, in particular, has seen volatility over the past year, impacting valuations across the entire industry. That being said, our focus remains on executing our long-term strategy, scaling our AI-driven space data business, and demonstrating our value through continued execution. We're confident that as we further expand our Data-as-a-Service model, strengthen recurring revenue streams, and continue our disciplined financial management, the market will ultimately recognize the full potential of Sidus Space. We remain committed to creating value for our shareholders and we'll continue to engage with the investment community to ensure our progress and future opportunities are well-understood. The next question is, can you provide insight into Sidus' approach to capital strategy moving forward, specifically what level of dilution should investors anticipate as the company continues to scale its operations? Sidus Space is still in the early stages of scaling our business and like many innovative technology companies, we require upfront investment to develop and prove out our capabilities. As a small, but rapidly evolving space technology and AI company, our investment profile is asymmetrical, meaning that while the initial phase requires significant capital to build and launch our infrastructure, once in place, those assets become powerful revenue-generating tools with significantly lower ongoing capital needs. Over the past year, we've made strategic investments in our satellite constellation, AI-driven data services, and key partnerships to position Sidus as a leader in space-based intelligence. And these investments are designed to create long-term value. We're already seeing momentum as we shift from a purely hardware manufacturing-driven model to a higher-margin constellation and Data-as-a-Service business. And in terms of dilution, we recognize that managing our capital structure responsibly is really critical. While raising capital is sometimes necessary to support key growth initiatives, we remain focused on executing in a way that maximizes shareholder value. As we expand our revenue streams and scale our recurring data services, we anticipate needing significantly less external capital over time as we'll be leveraging the infrastructure we've already built to generate revenue. Our goal is to reach a point where the business is increasingly self-sustaining and we continue to evaluate all available options to balance growth with prudent financial management.
Carol Craig: I want to personally thank our team, our partners, and our investors for your continued support and confidence. We appreciate everyone taking the time to listen today. We are excited about 2025 and we are looking forward to the next year of growth for both Sidus and the space industry. Thank you so much.
Operator: This concludes today's conference. You may disconnect your lines at this time.